Operator: Good morning, and welcome to the JELD-WEN Holding Inc. First Quarter 2022 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [ Operator Instructions].  I would now like to turn the call over Christopher Teachout, Director, Investor Relations. Please go ahead.
Chris Teachout: Thank you. Good morning, everyone. We issued our earnings press release this morning, and posted a slide presentation to the Investor Relations portion of our website, which we will be referencing during this call. I'm joined today by Gary Michel, Chair and CEO; and David Guernsey, acting CFO. Before we begin, I would like to remind everyone that during this call, we will make certain statements that constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements are subject to a variety of risks and uncertainties, including those set forth in our earnings release and provided in our Forms 10-K and 10-Q filed with the SEC. JELD-WEN does not undertake any duty to update forward-looking statements, including the guidance we are providing with respect to certain expectations for future results. Additionally, during today's call, we will discuss non-GAAP measures, which we believe can be useful in evaluating our performance. The presentation of this additional information should not be considered in isolation or as a substitute for results prepared in accordance with GAAP. A reconciliation of these non-GAAP measures to their most directly comparable financial measure calculated under GAAP, can be found in our earnings release and in the appendix to this presentation.  I would now like to turn the call over to Gary.
Gary Michel: Thanks, Chris. Good morning, everyone, and thank you for joining us. I'll start this morning by thanking our global associates, and especially those in Europe, for their continued commitment and dedication to serving customers during this challenging time. Our thoughts are with those that are impacted by the war in Ukraine. Our local teams are providing direct support, and we have been actively recruiting refugees in our European operations. Together with the generosity of our associates, JELD-WEN has already contributed more than $50,000 to the American Red Cross in support of humanitarian efforts in the region, a true testament to our values-driven culture. Turning to the first quarter results, we delivered another quarter of core revenue growth, our seventh in a row, driven by solid end market demand, strong price realization, and progress on our key initiatives. That said, a significant step-up in inflation relative to our expectation at the start of the quarter, exacerbated by the war in Ukraine, had a significant impact on results. Absent these extraordinary inflationary impacts, we would have achieved the high end of our expected range for the quarter. We're pulling all levers to mitigate these pressures and deliver our financial commitment for 2022 and beyond. In addition to price actions, we are executing initiatives to enhance margins, including expanding the rationalization and modernization programs to reduce fixed costs, focusing on consolidating our footprint and improving technology at facilities to improve labor efficiency and throughput, minimizing raw material consumption through value-added, value-engineered product design, and continuing to partner with suppliers to provide the best quality cost and availability for our operations and customers. While global inflationary pressures continue, we remain encouraged by the favorable underlying demand fundamentals across most of our primary end markets. We are confident that the initiatives we have deployed to drive profitable growth and margin expansion, will benefit us through the balance of this year. I will share more detail scale on these initiatives shortly. We remain laser-focused on leading the industry with customer-centric solutions and delivering on our 2022 and long-term financial commitments.  Please turn to Page 4, as I share a few highlights from the first quarter. Q1 net revenues increased 7.2%, driven by a 10% increase in core revenue, with all three segments contributing to core revenue growth. As I mentioned a moment ago, this marks the seventh consecutive quarter of consolidated core revenue growth. As we continue to deliver innovative and margin accretive new products, and improved service to our customers, we've realized higher pricing, and we expect to maintain this price due to differentiated customer service, product solutions, and market-leading position. Adjusted EBITDA for the quarter decreased 18% to $80.2 million. While pricing actions offset raw material and freight inflation, Russia's invasion of Ukraine, and the subsequent sanctions on many Russian exports, led to greater volatility and higher than anticipated prices on a number of key inputs, including energy, metals, logs, and mill work. In North America, core revenue grew 13%, largely due to price increases and continued solid demand for products in both residential, new construction, and repair and remodel, or R&R activity. Strong end market demand drove increased orders throughout the quarter, resulting in both a sequential and year-over-year increase in backlog, our highest backlog since the start of the pandemic. We executed on a variety of material cost reduction initiatives, including resourcing, substitution, value-added value engineered or VAVE projects, and also enacted cost controls aimed at alleviating the impact of inflation. We realized some benefit from these initiatives in the quarter, and expect to realize most of the saving from these and others currently underway over the coming quarters.  In Europe, core revenue grew 8% due to continued price momentum, partly offset by softer than anticipated volume in certain markets due to geopolitical uncertainty and significant inflationary impacts stemming from the crisis in Ukraine. Some project business was pushed out into future quarters, and we experienced limited destocking by certain customers. And our Australasia core revenue increased 1%, as accelerating price realization was largely offset by softer than forecast volume mix. Demand in Australia remains at record levels. However, continued builder labor challenges, severe flooding in Queensland and New South Wales, and an increase in COVID-19-related absenteeism, had a temporary impact on delivery timing and throughput. We expect these issues to alleviate in the second quarter. To conclude my comments on the quarter, we repurchased $40.2 million of our stock during Q1, or approximately 2% of shares outstanding. This follows the $323.7 million or 11.5% of total shares outstanding that we purchased in 2021. We continue to believe that our shares represent a great investment for us and an excellent use of cash.  Please turn to Page 5. As we move into the second quarter, we continue to focus on carefully managing costs and making accretive investments to bolster the capabilities, service and resources that matter most to our customers. Let me expand on some of the efforts we are pursuing to drive profitable revenue growth and margin expansion. Over the last few quarters, I've provided details on how we're accelerating the deployment of our business operating system, the JELD-WEN excellence model, or JEM, through transformation efforts in our 14-model value stream sites across the globe. I'd like to provide some details on new aspects of this transformation, the evolution of model sites to product lines, the addition of sites in Europe and Australasia, and the introduction of our first smart factory. As we've mentioned, JEM deployment enables us to improve throughput, maintain market-leading lead times, and reduce per unit cost. To accelerate the pace of transformation, our approach to these model value streams is evolving from being site-specific to standing full product lines. This approach allows us to roll out the findings of a single rapid improvement event, or RI E, to similar product lines at multiple facilities, almost simultaneously. The additional efficiency we gain from this approach, plus the six sites we're adding in Europe and Australasia, will unlock approximately $100 million in additional revenue opportunity for JELD-WEN in 2022.  We've also deployed new technology, including sensors and software, to our first smart factory. And we have plans to roll out this platform to two additional sites in the second quarter. This technology allows us to proactively identify issues and further optimize throughput by reducing unplanned downtime, minimizing stranded labor, and improving quality through standard work. We look forward to sharing the benefits of this new smart factory technology in the coming quarters. And as always, we continue to execute standard work process improvements across our remaining manufacturing sites. To provide some context on the magnitude of improvement we're seeing, three projects completed in the first quarter, have driven throughput volume improvement between 77% and 92%. Customers see this as better lead time that they can rely on. In the past three years, we've achieved more than $100 million dollars of savings from our footprint rationalization and modernization efforts, which have improved profitability and performance, increased throughput, delivery capabilities, and capacity. With additional projects underway and more in the pipeline, we believe we have considerable runway to generate continued meaningful cost savings and margin improvement. We've also kept a sharp focus on strategic sourcing to create more predictability and stability in our supply chain. Our philosophy at JELD-WEN is to manufacture where we sell and to source where we manufacture. This localized approach has helped us maintain self-sufficiency in key manufacturing processes, and deliver quality products with industry-leading customer lead times. This gives us flexibility as we optimize the supply chain to manage the effects of inflationary markets through rapid resourcing and insourcing, substitution, and redesign decisions. Our reach and scale gives us purchasing power. And as a key customer for many of our suppliers, we're using this position to manage our material purchases more effectively. And we've continued to identify multiple sourcing locations that have allowed us to quickly pivot when we experience supply chain challenges in certain regions of the world. Another part of our strategy is helping our channel partners and customers solve their challenges by offering new and innovative products and services that add value to their business, helping to strengthen our position as the supplier of choice. For example, we're offering more pro-specific skews of prefinished, preconfigured doors, and integrated door systems, to help reduce installation labor requirements. And we are piloting quick-shift programs in North America that focus on rationalizing skews to deliver higher volume on-trend products that customers want, while enabling our production runs to be more efficient and reduce lead times. I also want to share a brief update of some of our key growth drivers this year. We recently announced the production launch of our new Auraline composite windows and patio doors in North America. This launch addresses the rapidly growing demand for products that are designed-focused, energy-efficient, and sustainably-sourced, with a high degree of recycled content. An estimated 40% of dealers today don't have a composite window in their product lineup. So, we're excited about the opportunity to provide them with this next-generation, energy-efficient composite product. Pre-orders for Auraline have been strong. Shipments will commence in the second quarter, and we expect rapid expansion through 2022 for this margin-accretive product line. Additionally, our exterior fiberglass doors continue to be a growth driver for us. We've added new door and skin capacity in our North Wilkesboro facility that helped drive customer conversions, leading to growth above 20% and share gain for JELD-WEN. In a few weeks, we are bringing additional capacity online in our west coast facility, and expect to see continued growth and share gains this year. And we continue to broaden and deepen our relationships with multifamily and commercial customers throughout our VPI Quality Windows business. Since the expansion of our new east coast facility in Statesville, North Carolina, in the fourth quarter, we secured seven new projects in 2022, with one of the largest multifamily builders in the United States, and expect to secure incremental business with new customers as the year progresses. We expect these unique growth drivers, and continued positive housing demand, to accelerate topline growth. While the steps we’re taking to get ahead of inflation, will deliver margin expansion and improved profitability in the back half of 2022.  Now I'll hand it over to David to give more detail on the financials. 
David Guernsey: Thank you, Gary. Good morning, everyone. I'll begin on Page 7 with our consolidated first quarter results. Q1 marks our seventh consecutive quarter of core revenue growth. Net revenue increased 7% to $1.2 billion, driven by 10% core revenue growth, partially offset by 3% adverse foreign exchange impacts. Core revenue increased from a sequential and year-over-year improvement in pricing, partly offset by lower volume mix. Adjusted EBITDA decreased 18% to $80.2 million, driven by significant increases to input costs. Adjusted EBITDA margin compressed 210 basis points. Net loss per share and adjusted EPS were $0.01 and $0.16, respectively, compared to EPS and adjusted EPS of $0.25 and $0.27 a year ago. Page 8 provides a detailed breakdown of our revenue drivers for the first quarter. We delivered another quarter of strong core revenue growth, with positive core growth in each segment. Pricing increased sequentially, as we executed additional price increases to mitigate the impact of inflation. Price realization was strongest in North America at 14%, followed by Europe at 11%, while Australasia increased 6%. Volume mix decreased 2% in the quarter, driven primarily by slower backlog conversion in Australasia and softer demand in Europe, as well as having one less selling day in the quarter. Please turn to Page 9, which shows the magnitude of raw material and freight inflation over the past four quarters, and the price increases we've instituted to mitigate the effects. While material and freight inflation was greater than expected, we successfully offset the impact with price. Inflation was further moderated for our sourcing partnerships and value engineering initiatives. We expect price costs to become a tailwind as we move through the year.  Moving to page 10, you can see our segment highlights for the first quarter. Core revenue growth in North America was 13%, primarily driven by strong price realization, while volume mix was a slight headwind. Revenue growth accelerated through the quarter, driven by strong pricing and positive volume mix contributions in both February and March. JEM actions and improved labor productivity, drove meaningful improvement and throughput through the first quarter, with weekly volumes in March up high single digits compared to the fourth quarter, setting the stage for future growth. Order rates remain strong, particularly with our traditional channels, which increased roughly 40% over last year due to strength in residential new construction. Adjusted EBITDA margin in North America decreased 320 basis points, primarily due to higher input costs, including raw material, freight, labor and energy, as well as startup costs for new capacity. North America fully covered raw material and freight inflation with price on a dollar basis, but the impact has diluted the margin rate.  Europe revenue increased 8%, 1%, including the impact of foreign exchange. Another quarter of strong price realization drove core revenue growth, partially offset by lower than anticipated volume mix. Our order book remains strong, particularly in central Europe. However, inflation pressures and a general uncertainty related to Russia's invasion of Ukraine, impacted demand in other markets. Europe adjusted EBITDA margin decreased 450 basis points. Again, pricing improved year-over-year and sequentially. However, the deleverage impact of lower volumes due to market uncertainty, delays in higher margin project work, and inflation pressures, particularly for energy, metals, and labor, were considerable margin headwinds. Australasia revenue increased 1% in local currency, declining 5.2% FX-adjusted. Orders remain very healthy, reflecting our strong market position and continued solid demand for new housing. Volumes, however, were temporarily impacted by severe flooding along the Eastern seaboard and from a spike in COVID-19-related absenteeism. Pricing stepped up meaningfully both year-on-year and sequentially as we implemented additional actions to mitigate the impact of inflation. Australasia adjusted EBITDA margin decreased 170 basis points in the first quarter, primarily due to the deleverage impact of lower volumes.  Please turn to Page 11. Operating cashflow used during the first quarter was $186.9 million, compared to $64.9 million last year. The increase in operating cash flow used in operations was primarily due to high working capital needs, driven by inflationary impacts on the balance sheet, and lower net income. We expect improved cash flow conversion this year, as inventory investments convert to revenue and ultimately to cash. Our balance sheet and liquidity remained in a solid position. We ended the quarter with total cash and liquidity of $265.6 million, and $584.7 million, respectively. Net debt leverage increased 23.5 times from 2.8 times at year-end, primarily due to the temporary impact of inflation our cash flow and from utilizing our sizable cash position to purchase 40.2 million of our shares, or about 2% of the total shares outstanding. Our net leverage charter remains at 2 times to 2.5 times, and we expect to make considerable progress towards this goal through growth and margin expansion this year, and accelerating cash conversion. We'll continue deploying our cash in a disciplined, returns-focused manner, and compounding the returns on that cash over time. Looking forward, we remain confident in our full year outlook. Input cost inflation will continue to have some negative impact in Q2, and we expect extended market uncertainty in Europe. However, pricing actions have been announced in all of our markets, and realization will accelerate through Q2 and the balance of the year. Additionally, we have meaningful ongoing initiatives in place to drive growth and additional margin expansion as we've progressed towards our 2025 financial goals.  With that, I'll turn it back over to Gary, who will provide our closing comments.
Gary Michel: Thank you, David. Before we discuss the market outlook, I would like to provide an update on the divestiture process for our wood fiber building products business in Towanda, Pennsylvania. as we shared in the third quarter of 2021, the court appointed a special master to oversee the divestiture process. In February, the special master issued a report that identified multiple acceptable bids and recommended that one of the bidders no longer be considered a viable contender due to antitrust concerns. As part of that process, the court asked the Department of Justice for its views on the special master's recommendation, which is expected to be delivered later this month. We continue to work with the special master and his advisors to identify a buyer and close the transaction. While timing is uncertain, we are well prepared to navigate each possible outcome, and remain focused on ensuring a fair and orderly transition for associates and customers, while delivering value for our stakeholders.  Please turn to Page 13 and our market growth outlook. In North America, we continue to expect strong demand for both residential new construction and R&R activity. This demand is driven by favorable demographics, healthy consumer spending, and high personal saving levels, record home equity, and an aging housing stock. We recognize potential affordability challenges may create a temporary lull in demand during the second half of the year, but we believe the tailwinds to demand, including migration and move-up, will be more powerful and durable and long-lasting. For Europe, Russia's invasion of Ukraine has created uncertainty in the near-term. However, our operations are in many of Europe's strongest economies, and we expect activity to accelerate once there is greater clarity on the duration of the war in Ukraine. And in Australasia, demand for new residential homes remains robust, as the country's housing market continues its recovery from a multi-year recession. We expect housing demand and fundamentals, including record low interest rates and significant pent-up demand, to remain supportive, and we expect demand for our products to remain strong throughout the remainder of the year.  Please turn to Page 14. While we've experienced extraordinary global headwinds in the past two years, we remain acutely focused on the aspects of the business that are under our control. We are well positioned to capitalize on favorable housing market trends by realizing internal productivity improvements from our initiatives, offsetting inflationary impacts through price realization, and launching new innovative growth products that are margin accretive. As we look ahead, the work we have done over the past few quarters has positioned JELD-WEN to be successful in any market environment, and we remain committed to our outlook for the year. We are confident that our efforts to provide a differentiated customer experience and industry-leading capabilities, will drive long-term value for all of our stakeholders.  Thank you for joining us today. David, and I, will now be happy to take your questions.
Operator: [Operator Instructions]. Your first question comes from Matthew Bouley from Barclays. Please go ahead.
Matthew Bouley: Hey, good morning, everyone. Thank you for taking the questions. I think, Gary, you said it sounded like Q1 would have come in at the high end of your expectations but for the additional step-up in inflation. So, just understanding that the fiscal year guide is unchanged, can you just kind of elaborate a little on how the cadence of that margin recovery now looks relative to the prior guide, and if there are any changes to the segment outlooks? Thank you.
Gary Michel: Thanks, Matt. Yes, we - as you know, we guide for the full year, and we are committed to our guidance for the full year. On an internal basis, our first quarter missed slightly on our eternal expectations, again, due to the uncertainty that we saw in the first quarter from inflation and a little bit of volume decline based on what's going on in Europe. We saw sequential improvement in growth through the quarter. We'll expect that to continue through this quarter and into the rest of the year. As we talked about earlier on the last call, we've got some - we have good pricing. We've had to take some more pricing actions. We're pulling some other levers on cost and on just making sure that we're set up correctly, reestablishing or not reestablishing, but reaffirming what we're working on, on our rational modernization programs in JEM. And then we have the unique growth drivers that we talked about earlier in the year that are specifically kicking in late second quarter into the rest of the year. So, feel pretty good about the year. A little bit of inflation. Primarily, the difference for us was on energy, energy-related and some metals. So, anything related to energy, including freight and utilities, we saw acceleration there. But we've got price in place, we believe, to become a tailwind for the full year.
Matthew Bouley: Got you. Thank you for that color. And then secondly, I think last quarter you said that in terms of the organic growth guidance, that more than half of that growth was price. And obviously, this quarter, I think volume mix was down across segments. Are you finding that? I don't know if customers are reducing volume purchases as a result of all this price, and has that kind of mix of price versus volume changed in the guidance expectation for the year?
Gary Michel: Yes. I don't think that we've seen the volume necessarily decline because of price, with the exception of maybe a little bit of the uncertainty that we saw in Europe for a short period of time there. In Sydney or in Australia, we saw the flooding in Sydney and those areas, that slowed us down a little bit, made it hard for contractors to pull through. That's behind us. And for the most part, a lot of the growth drivers that we've been talking about, new products like Auraline or VPI expansion, the exterior door growth and new capacity coming online, that's just starting to hit us, but as we - as a plus. So, as we looked at the quarter, stepping through the quarter, we saw sequential improvements, sequential growth, particularly in North America. And we would expect that to flow through for the rest of the year. That pricing that we've got, we've taken some additional levers and we expect that to push through and offset some of this new inflation in this quarter and beyond.
Matthew Bouley: All right. Thank you, Gary, and good luck.
Operator: Your next question comes from Mike Reinhart from JPMorgan. Please go ahead.
Doug Weidner: Hi. Good morning. Doug Weidner on from Mike. I was wondering if you guys could give a little bit more color on how sales trend have varied by channel. I know you mentioned it briefly earlier, but I was wondering if you can kind of give more insight into that.
Gary Michel: Yes. So, we've seen some favorable mix in channels. In North America in particular, our traditional channel is doing very, very well. Anything related to residential new construction has been going pretty strong. We see good demand there, not to say that R&R is not good. It is. We've just seen a bigger growth in residential new construction and in our traditional channels in North America. In Europe, the mix shift has been a little bit less commercial in the northern portions of Europe where we tend to be a little bit more commercially-focused, geared more towards residential and R&R type business. And again, that's mostly just due to pushing out of projects, no straight cancellations, but we did see some destocking there related to the war, and then high demand on R&C and R&R in Australia, or in Australasia, mostly just a supply and a pull-through piece there as contractors couldn't work with all the flooding events that happened there in the quarter. Those are behind us, we believe, and that demand will start to pull through as crews get back to work and we're able to ship the product.
Doug Weidner: Great. Thanks. I guess, going off that, in terms of describing kind of channel inventory levels, would you say they're moving back towards normal, or can you give a little bit more on that?
Gary Michel: Yes, I would say so. We're seeing a little bit more normal cycle in retail. Typically, first quarter tends to be a slower quarter, but one where we build up inventories and are ready to supply for the season. We're clearly watching that as we go back. It's probably the first normal season or normal looking season we've seen in a while. So, we're cautious about it, but yes, we're seeing inventories, certainly in retail, about normal. And I would - nothing really to call out in our traditional channels. We have some decent lead times on most of our product lines. We continue to have commercially beneficial lead times, even though some are still extended beyond pandemic levels. But I would say that there's nothing really to call out in terms of stocking anywhere other than I feel like the retail patterns are becoming a little bit more kind of pre-pandemic normal.
Doug Weidner: Awesome. Thank you.
Operator: Your next question comes from Deepa Raghavan from Wells Fargo Securities. Please go ahead.
Deepa Raghavan: Hi. Good morning, everyone. As we stand today, can you talk about the dollar value productivity savings that is yet to be realized? You've been talking about some newer initiatives and just curious, what's the timeline for realization?
Gary Michel: So, we've been talking about the initial commitment that we made around our rationalization, modernization programs, around $100 million. The majority of that is either in our numbers or is action and about to be realized within the year for that first $100 million. What I would tell you is, we continue to stay on the same - and that was the first three-year program. We continue to stay on that same pace, and we've got additional items that we're initiating now, or actually executing on now, that we'll start to see benefit even in the second quarter, third quarter, and beyond. So, as we continue down that program, we haven't stopped at the original $100 million. I would say that we would continue our rationalization programs at about the same pace that we've been on for the last several years.
Deepa Raghavan: Okay, that's fair. Apart from the incremental inflation, there's also these forex headwinds that appear worse than anticipated at the time of guide. Are there any positive aspects - offsets that you expect sometime? Just trying to see how that may or may not impact the high end of guide.
Gary Michel: Deepa, I'm sorry. Did you say FX or?
Deepa Raghavan: Yes, forex, yes. Currency.
Gary Michel: Okay. Well, what I'd say is, it’s a little difficult right now in order to speak kind of directly to the forex headwinds. As we see the dollar beginning to strengthen, obviously that'll have a little bit of an impact. But I would say that we wouldn't expect anything too terribly meaningful from a forex impact over the balance of the year.
Deepa Raghavan: Got it. If I can squeeze one more in. Can you talk to how the CFO search is progressing and any thoughts on timeline at this time? Thank you.
Gary Michel: Sure. So, David's right here. He's been.
David Guernsey: What's the matter, Deepa? You don't like me?
Gary Michel: But yes, we’re continuing our search. It's underway and we would expect to complete that within the quarter.
Deepa Raghavan: Got it. Thanks. I was going to ask if you're also looking externally, but David, yes, no. But thank you so much. 
David Guernsey: Trust me, we're all on the same page here.
Deepa Raghavan: All right. Thanks so much. Good luck.
Operator: Your next question comes from John Lovallo from UBS. Please go ahead.
John Lovallo: Good morning, guys. Thank you for taking my questions. The first one, I guess, is just going back to Matt's question on the quarterly cadence, and understanding that you guys don't want to give real specific quarterly outlooks, but should we - is it fair to assume that the second quarter margin could be down by similar magnitude year-over-year as the first quarter? And if so, I mean, that would seem to imply a fairly significant ramp in the back half. And so, I'm just curious what level of incremental inflation you're expecting in the back half.
Gary Michel: I would say that we'll continue to see some of the inflationary pressure that we saw in Q1 in Q2. We'll start to see pricing accelerate over the course of Q2. And I do expect to see an improvement in margins over the course of Q2. But the real tailwind will occur as we get full deployment of our pricing as we head into the back half of the year.
John Lovallo: Okay, got it. And then, with some of these accelerated process transformations that you guys are putting in place, it sounds like it's a really good opportunity there, but I'm just curious what the incremental cost is associated with those actions.
Gary Michel: What I would tell you is, it's similar to what we've been - we've seen in the past. There's really nothing to call out that is significantly bigger. The paybacks are fairly quick and they're built into our guide. I would tell you that we see - we typically look at them from the rate of return, and some of these are a result of the work that we've done in JEM, in improving our capacity in a number of facilities. And that gives us the ability to bring capacity in from smaller, less important plants that we're able to close, take cost out, and continue to grow our capacity. So, very similar to the same programs that we've been talking about for the last three years, really, where the investment kind of, it's almost become a virtuous cycle at this point, where we lean out facilities, kind of making room for taking on additional capacity, and we take the latent capacity offline and we continue to lean.
John Lovallo: Okay. Thank you, guys.
Operator: Your next question comes from Truman Patterson from Wolfe Research. Please go ahead.
Truman Patterson: Hey, good morning, guys. Just wanted to follow up on John and Matt's question for clarity. Is the reiteration of ‘22 EBITDA guidance - I take it, it’s based on kind of the current inflation as of April, but then incremental price capture from the recent announcements as we move through the year. Is that a fair way to think about it?
Gary Michel: That’s fair, although we do continue to anticipate, and our model continues to anticipate, fairly significant inflation throughout the year. The balance gets better, though, as we get into the back half. In addition, remember, we talked about some unique growth drivers that we had through the year, which will continue to hit. Those will benefit us as we continue through the year. As we've launched our Auraline product, we're able to ship the new capacity out of our BPI facility and out of our exterior plant. And you put on top of that the levers that we're pulling and continue to pull on our restructuring programs, on our rationalization and modernization programs.
Truman Patterson: Okay. And then, it looks like during the quarter pricing offset material and freight inflation. I'm trying to understand what level of labor inflation you all saw during the quarter and how that looks like it's trending for the full year ‘22.
Gary Michel: So, we saw additional labor inflation certainly in the quarter, at the beginning of the quarter, mostly related to some of the early Omicron COVID, but not meaningful for the remainder of the quarter. It was really a couple of weeks. But that certainly had a little bit of effect. The bigger effect was on anything energy-related, the - particularly in utilities in Europe, and anything related to freight and transportation.
Truman Patterson: Okay. Thanks for that. And then final one for me on capital allocation. You all repurchased 40 million of shares during the quarter. Trying to understand, is this a level that you feel comfortable with moving forward, continuing to turn into a consistent share repurchaser, or just given some of the macro uncertainties, do you put more toward debt reduction or shoring up cash?
Gary Michel: So, I think we're in a pretty solid position from a balance sheet standpoint and cash generation standpoint. We feel pretty good about where we are. Obviously, we have some great internal programs that are high returning that we'll continue to invest in. We will continue to buy our shares opportunistically as we have in the past. And at current levels, makes a lot of sense. We believe in our guide. We believe in our - for the full year, as well as for our long range - the long-range plan that we put out on our Investor Day last year. So, we're pretty confident in those. And we're looking, as always, at M&A as a potential opportunity for us to accelerate our strategy and to continue to grow the company.
Truman Patterson: All right. Thank you, and good luck in the coming year.
Operator: Your next question comes from Mike Dahl from RBC Capital Markets. Please go ahead.
Mike Dahl: Good morning. Thanks for taking my questions. Gary, sorry to keep harping on the cadence here, but just to follow up one more time on it. I mean, you're acknowledging 1Q, given some of the puts and takes, was a little below internal plans, some of the near-term realities around the cost inflation and maybe some disruptions. Those are real. So, it does imply that something incremental is expected relative to prior guide to go to be better than original plan as you go through the year. And you've talked about Auraline and some of the new other capacity coming on, but can you go into a little more detail around kind of what incremental positives are really assumed to help you bridge from kind of the first half shortfall?
Gary Michel: Yes, Mike, I would say that first of all, you’ve got to look at, we made our guide for the full year. We really don't give guidance quarter-to-quarter. So, our internal - we have an internal number. We did miss that slightly in the first quarter, but not by something insurmountable. Additional price has been initiated already based on the inflationary pressures that we saw in the first quarter. You add on top of that, our operations are running really well. We've been talking about that for quite some time. Our ability to - and demand in the underlying markets are really strong and what we're seeing. So, we have the ability to execute fairly well against that. The addition of price, obviously the acceleration of some of our programs around rationalization and modernization that we've been - have had underway, will continue to help and continue to drive that. But we're also very - we’re very excited about the kind of JELD-WEN -specific growth drivers that we've been talking about, which will start hitting here in season and for the remainder of the year. Those are margin accretive and big growth drivers. So, we feel very, very good about those.
Mike Dahl: Got it. Okay, thank you. My second question, I understand that you may be a little bit limited on what you can or want to talk about on Towanda and the timing is uncertain, but given the timeline that you will see in terms of what's been recommended by the special master, the DOJ now kind of taking a look at that, do you - is there any sense of timeline for how we should be thinking about ultimate resolution? And I guess as part of that, when will those results actually be separated out? Would that be on an ultimate decision around what happens with the bid and divestiture, or is that on finalization or closing of divestiture?
Gary Michel: I would tell you that we're - it's an interesting process. It's the first of its kind. So, it's being controlled by the pace of the court. And at this point, we're awaiting certain decisions of the court, and the court's waiting on that opinion from the justice department. So, we're probably several weeks away from the court having that and continuing to move the process forward. I would say that as far as the results go, we’re, to a certain extent, at the mercy of the court, to use that phrase, in terms of the timing of the process itself. As far as the results of the business, when we would separate out, we would do that at the appropriate time, based on the position of where a deal is and what our advisors recommend from that standpoint. So, for the time being, they're in our results and will remain there.
Mike Dahl: Okay. Thanks, Gary.
Operator: Your next question comes from Susan Maklari from Goldman Sachs. Please go ahead. 
Susan Maklari: Thank you. Good morning, everyone. My first question is, looking at the volume cadence or the volume mix cadence in North America, considering your commentary, Gary, around the backlog there and the sort of cadence that you're seeing or you saw through March, does that suggest that you could see a positive shift in terms of the volume mix as we go through the next several quarters, that that can be sustained, and especially when you think about some of the comps that you face in the second quarter and then in the back half?
Gary Michel: Yes, Susan, thanks a lot for that. We have seen the North American business sequentially improving even through first quarter. That mixed piece towards our traditional business and R&C continues to move favorably as well, as does in the retail segment, the mix of more specials versus stocks. So, kind of favorable - we would expect a favorable progression in North America on volume mix through the year. Good demand, good fundamentals for the market on - related to buildings. So, we feel pretty good about that mix progression.
Susan Maklari: Okay, that's helpful. And then I guess, following up on that, when you do think about what's going on on the ground in terms of housing and builders efforts to focus on affordability there, is there anything that's changing in terms of your conversations with some of your customers, especially on that wholesale distribution side, anything in terms of some of the mix that's coming through in order for you to help them to get to some of those targets that they're trying to achieve on the ground?
Gary Michel: Yes, it's interesting. Something I mentioned as well in the prepared comments, working with builders and with our traditional channel partners, we've been able to focus on some quick-ship programs and some kind of just-in-time or just-as-they-need-it type programs, where we've been able to do - utilize our skew rationalization program to pick kind of the on-trend, but most popular - most popular on-trend type of skews and really focus the efforts on that. So, customers still get what they want, but easier for us to plan the manufacturing and forecast around, easier for our channel partners to be able to move them through their system, and easier for builders to select. And that's really been an advantage here for builders, as well as channel partners. So, that's one example of some of the things that we're doing there. I think we've talked in the past about our exterior door systems, for example, as being a real winner, where we've been able to do more. Think of pre-hang for exterior doors, taking that entire entryway door system, put it into a system that's easier to install, allows a different type of labor to put that in, which makes it easier to select, easier to transport, and easier to install. So, those are some of the things that we're working on as we're working with our channel partners and customers to solve their problems, and it adds value, which is a great thing for us as well.
Susan Maklari: Okay. That's very helpful. Thank you. Good luck.
Operator: Your next question comes from Philip Ng from Jefferies. Please go ahead.
Philip Ng: Hey, guys. Given the uncertainty in Europe and affordability concerns in the US, Gary, you kind of meant - you alluded to maybe potential risk of a temporary law in the back half of this year. How do you see your volumes kind of holding up in that backdrop, just to given how your backlogs are fairly extended? And have you started seeing orders from some of those customers in Europe normalize again?
Gary Michel: So, we - I’d just unpack that question a little bit. What we see is, we've seen a little bit of this. So, the uncertainty in Europe, I'll take that first, we've seen that primarily in our commercial businesses in certain regions of Europe, where there's been some uncertainty and slow-down, mostly pushing orders out, or pushing projects out, and a little bit of destocking in some of those areas. I think that's going to continue a little bit here into the second quarter, and just really based on kind of the news and the things that we see going on. We'll be watching that very closely, but we are still seeing some robust activity in other parts of Europe. In North America, we've seen sequential growth through the quarter, and we expect that to continue through the year, with more favorable mix. Right now, we're sitting on some pretty good backlog. Demand continues to be fairly strong. So, while we'll see some of the, call it, inflationary pressures as price continues to take on, particularly this new set of energy costs or freight, we would expect that to sequentially improve as we exit the second quarter into the second half, and then a lot of those growth initiatives really start kicking in here kind of end of this quarter, as we start shipping. We've announced that we're starting to ship Auraline, our new composite product, this quarter. The VPI expansion is going really, really well. And we continue to see that exterior business - our exterior products business going well. So, we would expect all of that to kick in and just be natural levers for growth in the second half, as we talked about.
Philip Ng: Got you. And then from a supply chain labor bottleneck standpoint, it's kind of been a drag on your volumes the last few quarters. Is that largely behind you at this point, and should we expect volumes to actually inflect year-over-year in 2Q? And any color on any impact from the whole Russia-Ukraine and China lockdown situation from a supply chain and material availability standpoint as well?
Gary Michel: Yes. I'll start with the material availability piece. We've - on a general basis across the entire enterprise, while we've had - like any - at any time in history, we've always had - you always have some material or some issue. They've maybe been a little bit exacerbated over the last 12 months or so. But really right now, I can't report to you any direct outage that is causing us not to be able to meet customer demand. Is there some - are the feet of the duck moving really quickly underwater? Yes, absolutely. But we have not missed any shipments or delays. And there are a couple of commodities, a couple of products that we wish we could get faster and we're working on that through resourcing, insourcing, VID, all kinds of things, right? But I would say there's nothing there that's causing us to delay customer shipments.  On the side of labor availability, our big issue around associates was really kind of the third quarter of last year. And we really addressed that in - for the most part. And we saw sequential improvements in our throughput, all the way through the end of the year, even into the beginning of this year. We had a short period at the beginning of this year with the Omicron, kind of a couple of weeks there where we saw some accelerated absenteeism, but I would say that's really behind us. We've either been able to work through and solve some problems, or we've gotten kind of used to what we need to do in order to address it. But our JEM programs and the work that we've been doing on improving throughput, have seen us sequentially improve, which is why - the output of that is the lead times that our customers are seeing on our products. And for the most part, certainly on the door side, we're seeing pre-pandemic lead times, certainly on interior doors, darn near close on that on exterior, and our window products continue to have industry-leading lead times as well. So, I feel like we’re kind of demonstrating that for the customer, and it's a result of all the work that we've done on throughput improvement and ensuring that we're staffed correctly.
Philip Ng: So, given the progress you guys have made, Gary, should we expect that inflection to materialize in 2Q from a volume standpoint, or is it more back half loaded?
Gary Michel: I would say that what you're going to see is some of the inflationary pressures continue to show up in the second quarter, as price and perfecting that backlog reduction, happens in the second quarter. But I would say that you will definitely see that in this back half of the year, as we're able to leverage the other growth initiatives on top of it as well.
Philip Ng: Okay, super. Thank you.
Operator: Your next question comes from the line of Daniel Oppenheim from Credit Suisse. Please go ahead.
Daniel Oppenheim: Great. Thanks very much. I think most questions have been answered, but based - in terms of the margin and pricing, you talked about that sort of coming through in the second half of the year. For North America, you're talking about the growth that you're seeing, but then also mention that potential for the sort of affordability-driven lull in the second half. Just to confirm, that's more of an acknowledgement of the risk, but not in the expectations at this point, but you're assuming that this growth continues through the second half, correct? 
Gary Michel: Yes. So, yes, the - we’re obviously watching R&C and what's going on in those markets. And I would tell you, right now, we see the fundamentals of that continuing to be strong, based on the order loads that we're getting and the backlogs that we continue to have. I would tell you that what's driving our growth are some JELD-WEN-specific things. We're adding a bunch of new products that are - that lay in on top of anything else that we're doing. So, that's built into our forecast for the full year as well. And we continue to see, based on the presale of some of those products, that's going to propel us and drive us in that second half.
Daniel Oppenheim: Got it. Okay. Thanks very much.
Operator: Your next question comes from Josh Chan from Baird. Please go ahead.
Josh Chan: Hi, good morning, Gary, David, Chris. Thanks for taking my questions. In North America, is there any color that you can give in terms of the difference in performance between doors and windows from like a growth or margin perspective this quarter? 
Gary Michel: So, if I heard the question correctly, it's trying to get some - understand differentiation in margin and growth in doors and windows? 
Josh Chan: Correct. 
Gary Michel: Yes. I would say that we both are moving in the right direction. We've been equally working on doors and windows. We don't see any fundamental reason why both can't continue to grow from a margin expansion standpoint. We've been working on windows from an operational standpoint. As you know, a number of years ago, we had some issues there. We don't see any appreciable difference between the two. It comes down to mix of what we're selling in the channel. I mean, that's way more important than any fundamental issue that we see in the product lines themselves. When you think about where we've got some good growth initiatives, the two notable ones, particularly Auraline, which is an accretive window product for us, will help propel margins in that arena. And the more that we sell - the mix of exterior and interior doors, helps as well. So, we've got kind of focused on both and there's no structural reason why both can't propel and continue to grow.
Josh Chan: All right. Yes. Thanks for the color there. And for my second question, in Europe, I think, Gary, you mentioned that central Europe was pretty resilient. Could you just kind of ballpark for us how much of your Europe business is part of the more, I guess, resilient type of end markets now, and how much of the Europe business kind of goes into areas that are seeing a little bit more of reservation in terms of volumes currently? Thank you.
David Guernsey: So, I'll take that because I was looking after Europe for a period of time. What I would say is that we're seeing resilience across kind of the broader portion of Europe. We do have some pockets where there's some impacts and there's some uncertainty. Typically, in Northern Europe is where we're seeing a little bit more impact. In central Europe and then the UK is where we're anticipating some more growth. So, I'm not sure that that helps you a whole lot, but I think that's pretty much where we set.
Josh Chan: All right. Thanks for the color, and thanks for the time, guys.
Operator: This is all the time that we had for today. I will turn the call back over to Gary for closing remarks.
Gary Michel: Well, thank you all for joining us today. Just to reiterate, our operations are strong. We are - we feel good about the housing fundamentals in our markets, and we feel good about our forecast for the full year, and reiterate our guidance for the full year based on our ability to overcome some inflation with pricing, as well as our JELD-WEN-specific growth initiatives that we've been talking about. We'll look forward to sharing with you the results of our growth initiatives, our continuing work with JEM, and rationalization and modernization programs in the coming quarters, and thank you again for your interest.
Operator: This concludes today’s conference call. You may now disconnect.